Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Héroux-Devtek Inc. fourth quarter results conference call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. (Operator instructions) Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded today, Friday, May, 28th, 2010, at 10:00 AM Eastern time. I will now turn the conference call over to Mr. Gilles Labbé, President and Chief Executive Officer and Mr. Réal Bélanger, Chief Financial Officer of Héroux-Devtek. Mr. Labbé, please go ahead.
Gilles Labbé: Good morning, and welcome to Héroux-Devtek conference call for the fourth quarter and fiscal year ended March 31st, 2010. With me is Réal Bélanger, our Executive Vice President and Chief Financial Officer. [Foreign language] Our press release was issued this morning and can be found along with our unaudited consolidated financial statement and MD&A on our website at www.herouxdevtek.com. Despite a year of lingering recession, Héroux-Devtek had a solid performance in fiscal 2010. Sales were slightly down to $320 million, essentially due to lower industrial product sales and currency impact. The military aerospace market remains solid with a sales increase of 8.6%. This was offset by a 12.3% sales decrease to the commercial aerospace market as a result of order push-out in some markets. Net earning were $16 million, or $0.52 per share versus $0.67 last year on a fully diluted basis. However, our balance sheet remains very solid and we ended the year with over $46 million in cash. If you remember, after Q1 due to push-out and customer delaying some orders, we had quite an increase in inventory and receivable and we told you that we will work on that all year long and I am happy to see that our management team has been doing a good job reducing inventory and receivable at year-end and that’s why we end up with $46 million in cash versus last year an amount of $39 million. So— In fiscal 2010, we reaffirmed our market leadership by winning new contracts on strategic programs. For example, we gained further exposure to the JSF program through two new contracts expected to generate more than $60 million in additional revenues through calendar 2017. We also gained additional exposure to the growing CH-47 Chinook helicopter by signing an MOU with Boeing fabricated landing gear for all Chinooks to be delivered outside the U.S. over a four year period, beginning early in fiscal 2012. Intellectual property license to service the worldwide fleet with aftermarket parts and services is also being considered. Another important event took place shortly after fiscal year-end. On April 28th, we completed the acquisition of Eagle Tool & Machine, and its subsidiary E-2 Precision Products, two manufactures of precision machine components mainly for the military aerospace market located in Ohio. This strategy acquisition further strengthen our customer relationship as we now have manufacturing facilities closer to our main Landing Gear customers. Eagle Tool also broadened our product portfolio. This acquisition adds $125 million to our funded backlog. It has annual sales of approximately $40 million and we believe it will be accretive to EPS by up to 10% in the first year following the acquisition. If we take a brief look at our main markets, military aerospace remains solid. Proposed funding for the upcoming U.S. 2011 fiscal year account for a 3.4 increase in the Department of Defense base budget over the sums authorized for fiscal 2010. There is also a 7.7% proposed funding increase for procurement to use – to U.S. $113 billion [ph] in fiscal 2011. However, we must remain prudent over the mid-term as the U.S. administration must address the deficit and may reduce subsequent funding. The JSF program continue to ramp up and although the proposed budget calls for a moderation in the ramp up pace over the near term, the U.S. administration remains firmly committed to the program. In any event, Héroux-Devtek is well positioned in the military aerospace market given its diversified program portfolio and a sound balance between new components and assemblies as well as aftermarket services. Condition in commercial aerospace market are improving, first, in the large commercial aircraft segment, Boeing and Airbus have confirmed that Canada 2010 deliveries will be near 2009 levels. More importantly, both recently announced production rate increase for 2011 on platforms such as the B 777, B 747, and A320. In addition, first delivery of the Boeing 787 are scheduled for late 2010. New orders for Boeing and Airbus reach a combined total of approximately 200 aircraft in the first four months of 2010, a figure roughly three times greater than for the same period in 2009. Finally, our backlog remains strong with over 3,300 aircraft each as of April 30. The business jet market appears to have bottomed out. We are seeing encouraging signs such a reduction in used aircraft for sale and an increase in flying hours. However, as evidenced by a further 14% reduction in new aircraft shipments in the first calendar quarter, no recovery is really expected in 2010. We believe the market will grow more significantly in 2012 and 2013 at which time the strategic program in which we designed and developed the landing gear, namely the Embraer Legacy 450 and 500 as well as the Learjet 85 should hit the market. Finally, the power generation industry remains soft although we believe this market has also bottomed out. In its latest energy outlook the U.S. Department of Energy forecasts that after two years of decline, electricity consumption will increase 2.7% in 2010 followed by a 1.3% growth in 2011. In wind energy, low power demand and prices have slowed down the rate of new installation since the beginning of 2010. This slowdown also reflects difficulties in obtaining project financing over the last two year. However, we remain very much committed to that sector given its huge potential over the mid-term as renewable energy sources remain a priority for many nations around the world. I will now turn the call to Réal for a review of our results.
Réal Bélanger: Thank you, Gilles. I will first provide an overview of the fourth quarter. Consolidated sales were $85 million compared with $92.1 million in the fourth quarter last year. This decrease mainly reflect the year-over-year increase in the value of the Canadian dollar as well as lower industrial product sales. Effectively, excluding the currency impact of $9.5 million, four quarter sales will have been $2.4 million higher than last year. Aerospace sales declined 3.8% to $79.1 million. Sales of Landing Gear products decreased 6.3% to $51.2 million mainly as a result of currency impact. Aerostructure product sales increased 0.9% to $27.6 million, driven by greater sales from the ramp up of the JSF program. Industrial sales were $5.8 million, down from $9.9 million last year as a weak economy impacted the power generation industry, including wind energy, and the heavy equipment market. The gross profit margin was 15.8% versus 17.3% in the fourth quarter last year. This decrease mirrors the trend that impacted most of fiscal 2010. However, Landing Gear operations were mainly affected in the fourth quarter whereas both the Aerostructure and industrial product lines had better margins. EBITDA, which represents earnings before interest, taxes, and depreciation, amounted to $12.3 million, or 14.4% of sales compared with $15.4 million, or 16.7% of sales last year with the currency impact mainly explaining this negative variance. Consolidated operating income amounted to $7.3 million, or 8.6% of sales, compared with $10 million, or 10.9% of sales last year. Net income for the quarter was $4.4 million, or $0.14 per share fully diluted compared with $6.4 million or $0.20 per share fully diluted a year ago. Cash flow from operations remain solid at $12.3 million in the fourth quarter of fiscal 2010 versus $14.1 million a year earlier For the fiscal year ended March 31, 2010, consolidated sales reached $320.4 million versus $337.6 million last year. This 5.1% decline is mainly attributable to a lower industrial product sales and currency impact. Earnings before interest, taxes and depreciation was $48.4 million, or 15.1% of sales compared with $54.6 million or 16.2% of sales last year as aerospace sales were basically at the same level as last year but offset by the negative variance coming mainly from lower industrial market sales and a negative impact from fluctuation of the Canadian versus U.S. currency in fiscal 2010. Operating income stood at $27.2 million, or 8.5% of sales compared with $34.5 million, or 10.2% of sales a year ago. Fluctuation in the value of the Canadian dollar versus the U.S. currency decreased fiscal 2010 sales by $1.9 million, or 0.5% compared with last year and had a negative impact of 1.7% this year on gross profit if expressed as a percentage of sales, which stood at 15.7% this fiscal year. The impact of currency movements on the company gross profit is mitigated by the use of forward currency exchange sales contracts and the natural hedging from the purchase of materials made in U.S. dollars. Net income amounted to $16 million or $0.52 per share fully diluted in fiscal 2010 versus $21.4 million, or $0.67 per share fully diluted in fiscal 2009. Finally, cash flow from operations remain solid at $45.9 million in fiscal 2010, down slightly from $48 million a year earlier. This solid cash flow generation further strengthen our balance sheet. As of March 31st, 2010, we had cash and cash equivalents of $46.6 million while total long term debt, including the current portion was $81.1 million. Our net debt to equity ratio stood at 0.16 to one compared with 0.25 to one three months earlier and 0.24 to one at the beginning of the fiscal year. This ratio is defined as the long term debt, including current portion, less cash and cash equivalents over shareholders’ equity. As of March 31st, 2010, we were only drawing $43.7 million out of authorized credit facilities of $125 million, leaving us with sufficient financial flexibility. In order to finance the acquisition of Eagle Tool, we used about $16.7 million from our credit facilities as well as $12.2 million of our cash balance. We continue to repurchase shares under our normal course issuer bid program. In the fourth quarter, we repurchased nearly 40,000 shares bringing our total to 93,400 shares repurchased up to March 31st, 2010 while we repurchased subsequent to year-end as a block an additional 480,000 shares. Our current program allows us to repurchase a total of 1.5 million shares until November 24th, 2010. On March 31st, 2010, we had forward foreign exchange contracts to sell U.S. $160 million at an average exchange rate of 1.1436 maturing over the next four years, but mainly over the next 24 months. Finally, our funded backlog was $423 million as of March 31st, up from $418 million three months earlier. As a reminder, our backlog only represents contracts for which we have received firm purchase orders. As the acquisition of Eagle Tool was completed subsequent to fiscal year-end, this funded backlog of approximately $125 million is not included in our March 31st backlog. I will now turn the call back to Gilles.
Gilles Labbé: Thank you, Réal. Although certain markets remain affected by the downturn, the recession appears to be fading and Héroux-Devtek is ready for the pending recovery. We are committed to provide our customers with products and service at the very best quality. To do so we continually invest in state-of-the-art technologies and the skill of our people. For example, we announced a $26.5 million investment over five years at our Kitchener facility earlier this month. This program is aimed as fostering innovation and further enhancing our global competitiveness by providing more value-add to our world-class international customers. By making the right investments, we will be on stronger ground to meet and exceed the most rigorous requirements. Our reputation for being at the leading edge favorably positions the Company for business opportunities that may arise. No later than last week, we were awarded additional orders totaling approximately $16 million by the U.S. Air Force and the U.S. Navy to manufacture landing gear components mainly for the B-1B, C-130, C-5, KC-135F, and P-3 aircraft. Deliveries will be spread out over the next four years with deliveries starting in fiscal 2011. The integration of Eagle Tool and E-2 is a priority for fiscal 2011. Excluding the contribution of these companies, we are anticipating sales to remain relatively stable in comparison with the previous year, assuming no significant variance in the Canadian-U.S. exchange rate. Despite the solid backlog and strong customer relationships, we will continue to seek further productivity gains and streamline our cost base to remain globally competitive in light of the volatility of the Canadian dollar. Ladies and gentlemen, we will now be pleased to answer your questions.
Operator: (Operator instructions) Your first question comes from the line of Cameron Doerksen with Versant Partners. Your line is now open.
Cameron Doerksen – Versant Partners: Hi, good morning.
Gilles Labbé: Hi, good morning.
Réal Bélanger: Good morning, Cam.
Cameron Doerksen – Versant Partners: First question that I guess just a quick one for Réal, just on the CapEx expectations for fiscal 2011?
Réal Bélanger: Well, if we put aside the capital expenditure for – that could be necessary for the acquisition, we were planning for around $25 million capital expenditure for the year. And maybe another $2 million to $3 million probably for the acquisition. As you can see, Cam, we invested less last year than were planning as – and some of this was that we tried to be prudent in 2010 fiscal year and some addition investment were not made in 2010, will happen in 2011.
Cameron Doerksen – Versant Partners: Okay. And whereabouts are you making the investments on the $25 million?
Réal Bélanger: Well, we have – we have finalized the expansion in Texas, as you know.
Cameron Doerksen – Versant Partners: Right.
Réal Bélanger: The building should be pretty much completed in August.
Cameron Doerksen – Versant Partners: That’s great.
Réal Bélanger: And we have four piece of equipment that are being ordered for the ramp up of JSF, that’s one. We have more equipment coming in Kitchener also. And we have normal CapEx that we have to do in Laval and Longueuil [ph]. But we have also on the engineering side an investment in the test tower. We need to invest more money in our testing facility given that we have quite – a lot of activities with the three programs that we have on the Lear 85 and the 53K with Sikorsky and also the Embraer.
Cameron Doerksen – Versant Partners: Okay. And on that, I mean if you had to – these development programs which are starting to become sort of ramp up here, are there other opportunities out there that you are looking at, do you feel you have the engineering and development capability to bid on other opportunities that might come up like those three?
Gilles Labbé: Oh, yes, we are very active, very busy right now at looking at additional opportunities.
Cameron Doerksen – Versant Partners: Okay. Question on the F-35 production plan. Are there any changes that you’ve heard from Lockheed since you gave us the update back in February and is there any clarification on what the production may looks like beyond calendar 2011?
Gilles Labbé: I can tell you the most recent I think its project knowledge is calendar 2010 the BAI S32 aircraft.
Cameron Doerksen – Versant Partners: Yes.
Gilles Labbé: Next year, ’11, S42 and the year after it’s 52 and this number could increase in 2011 and 2012 depending on the affordability of the program, so it could go up more than 42 and more than 52. That’s what, but it depends on the whole program affordability.
Cameron Doerksen – Versant Partners: Right.
Gilles Labbé: So – and thereafter it’s supposed to go to 100 or 100 plus, but we’ll see about that. But that’s the – and these are the most recent number that I know for the next three years.
Cameron Doerksen – Versant Partners: Okay. And just finally, you’ve closed the acquisition of Eagle Tool, but you still have a fair bit of cash on the balance sheet and a very solid balance sheet. I mean are you open to additional acquisitions, or are you going to spend the next 12 months at least sort of integrating what you’ve just acquired?
Gilles Labbé: I think we – if the right acquisition fit our strategy would be on the table we probably look seriously at it. Right now we are of course integrating Eagle. This is a priority. We want to do this as rapidly as we can. We have teams doing that as we speak. So, I think it’s – we can invest again into a new acquisition. Of course we cannot do a sizable one at this point, but I think it’s part of our strategy, Cam.
Cameron Doerksen – Versant Partners: Okay. Thanks very much.
Gilles Labbé: Thank you.
Réal Bélanger: Thank you.
Operator: The next question comes from the line of David Newman with National Bank Financial. Your line is open.
David Newman – National Bank Financial: Good morning, gentlemen.
Réal Bélanger: Good morning.
Gilles Labbé: Good morning.
David Newman – National Bank Financial: Just in terms of maintenance question, what was the year-over-year growth in Q4 in Aerostructure versus Landing Gear, I just missed those two data points? Just for Q4. I think I heard minus 6.3 on one of them.
Réal Bélanger: Well, Landing Gear ended the quarter with – Landing Gear was down by about $3.5 million.
David Newman – National Bank Financial: Okay.
Réal Bélanger: And we ended out the quarter with $51.2 million – yes.
David Newman – National Bank Financial: Okay. And Aerostructure if you can back into–?
Réal Bélanger: I am sorry, we expected $1.2 million but they were mainly impacted by the exchange at Landing Gear–
David Newman – National Bank Financial: Right.
Réal Bélanger: – Canadian dollar–
David Newman – National Bank Financial: For Q4.
Réal Bélanger: For Q4. Aerostructure were relatively flat–
David Newman – National Bank Financial: Flat?
Réal Bélanger: At $27.6 million.
David Newman – National Bank Financial: Okay very good. And as, Gilles, on the increased production on the large commercial side, do you think it will offset the – I know we are seeing better conditions in – certainly in the business jet market, but do you think the large commercial side will offset the pain that you might see on the regional and on the business jet side? Like how you are looking at that?
Gilles Labbé: I think the increase in production we’ll start to see this at the end of this fiscal year. The announcement of 777 is ramping up to seven a month, mid-11 calendar that’s what Boeing announced, right?
David Newman – National Bank Financial: Yes, that’s the lag in tooling, yes.
Gilles Labbé: So, that means that we won't see this increase until (inaudible) Q4 of FY’11
David Newman – National Bank Financial: Yes.
Gilles Labbé: And then on the A320, again here is – these are even shorter cycle type of product we built than 777. So, again I hear I think we’ll see an increase more rapidly [ph] at the end of the year so – but 787 – 787 will start to ramp up somewhat. So–
David Newman – National Bank Financial: Yes.
Gilles Labbé: I think overall I mean I said that without the acquisition of Eagle, given that we – exchange rate remain about where it is now, we should be able to have about the same type of revenues that we had in 2010.
David Newman – National Bank Financial: Okay. And I had to think that probably the Boeing and Airbus production being held relatively flat was obviously probably better than I think a lot of people it was going to be.
Gilles Labbé: Oh yes, much better. It’s – I am sure all my colleagues in the industry are–
David Newman – National Bank Financial: Relieved.
Gilles Labbé: Are really pleased to see that.
David Newman – National Bank Financial: Yes. And just remind us on the mix. What is the mix between large commercial and regional business jets, and how much exposure do you have on the CRJ. My understanding, it was relatively muted on the CRJ that your exposure was more on the Q400, if I am not mistaken?
Gilles Labbé: Sales of – in percentage—
Réal Bélanger: About 20%.
Gilles Labbé: So, about 20% of our sales in the large commercial–
David Newman – National Bank Financial: Okay. And the split between Q400 and CRJ?
Gilles Labbé: CRJ we don’t have – we have a little bit of product at this point, but—
David Newman – National Bank Financial: Not much, right.
Réal Bélanger: Not much, not much.
Gilles Labbé: Not much and I mean of course it’s a development [ph] type so the revenue wise as we speak next two years it’s very minimal?
David Newman – National Bank Financial: And new deal [ph] from Aerostructure’s work on the Q400 as well as Landing Gear, some Landing Gear stuff as well.
Gilles Labbé: Yes, we have quite a bit of product on the Dash-8 and we build all the major component of the wing on Dash-8 and we built some major component on the gear also for Messi [ph] and also for Goodrich. So, we have quite a bit of content on the Dash-8, which is a – my memory as good as probably if we put both product line together, providing tune of 125,000 per ship set.
David Newman – National Bank Financial: Okay, very good. And just on the question on the Eagle Tool. I mean you obviously won a $16 million contract. Was there some – did that have bearing – did Eagle tool have a bearing on that, and what are your integration plans, any savings or how – you know what can we expect to see in terms of any sort of integration and benefits that you might accrue from that?
Gilles Labbé: Well, you know it’s a – Eagle, we said that we believe that we can achieve 10% accretion in the first year.
David Newman – National Bank Financial: Yes.
Gilles Labbé: It’s – there is a lot of things to be done there. I think it’s a good company. They have a good reputation. They build very complex component and some of them are very similar to what we do actually. We were – we compete with them on this U.S. Military aftermarket business.
David Newman – National Bank Financial: Okay, okay.
Gilles Labbé: So that for example, C-5 component that we build in the past they are building it today and vice versa and so we – they are knowledgeable in what they do, but the – what we think we can bring to them is first of all we will work with them to improve, first, a very important to improve the quality of the product. Product going out the door is good, but we need to reduce the – we can improve the cost of quality, meaning in the operation. We need to improve the on-time delivery also for the customer. We have – and we will invest in quality system, we will invest in system that will bring them to a level we have at Héroux-Devtek, but the foundation of this business is good. I mean they have a – they know the – they know how to build complex landing gear like we do, and with the – what is good at Eagle Tool bring it to Héroux and what is good at Héroux we’ll bring to Eagle Tool and two plus two makes five, right?
David Newman – National Bank Financial: Okay, so nothing major, just more – just bringing them up to back – to Héroux’s standards?
Gilles Labbé: But you know it’s a business we know well. I mean it’s a – as you know we do two-third of our business is Landing Gear. So it’s something we know very well.
David Newman – National Bank Financial: Yes.
Gilles Labbé: So we believe the integration will be rapid and will be very successful. I think it’s a – it’s not like we are buying something. We don’t know. It’s something that we know very well. I mean we’ve been in this business forever.
David Newman – National Bank Financial: Yes. So, yes, so that’s certainly lends support to that. And the last one, just on the – you mentioned you were streamlining your cost base. Are we talking about more sort of blocking and tackling as opposed to something material? I mean are you happy with you I guess your planned footprint right now and those sort of things?
Gilles Labbé: You know I will be never happy. You talk to my management team and the – yes, they see – some of them see a (inaudible) or something like that. So I mean it’s a – we are too – I mean this is again we are in, we have no choice but to do that. I mean it’s continuous improvement because we got to do this to compete on our everyday the dollar not very volatility, and it’s not going the wrong direction – it’s going in the wrong direction for us, but nevertheless we need to continue to reduce cost and improve productivity and we have to be competitive. Our customers are also insatiable [ph].
David Newman – National Bank Financial: Excellent. Thanks gentlemen.
Gilles Labbé: Thank you.
Operator: The next question comes from the line of Benoit Poirier with Desjardins Securities. Your line is open.
Benoit Poirier – Desjardins Securities: Good morning, Réal, good morning, Gilles.
Gilles Labbé: Good morning.
Benoit Poirier – Desjardins Securities: My question is on the Chinook 47. You announced the MOU I think later last year. If my memory is good, what is the – you have input any value, but what could be the size of this order in terms of value?
Gilles Labbé: If my memory is good as I think forecast of Boeing is to sell about over the next four years around 50 ships. And we have already received first order. I think we have an order now for 17 ships. So we – this is already launched in the system for production. So it’s – that’s the size of the order in term of number of aircraft.
Benoit Poirier – Desjardins Securities: Okay. And would it be smaller than the C-130? Because the C-130 was almost 25 million in terms of money?
Gilles Labbé: I will – I will not answer your question because then I would disclose the pricing I have for that landing gear.
Benoit Poirier – Desjardins Securities: Okay, okay. I see but the order is not in the backlog given it’s MOU, right?
Gilles Labbé: Well, I think we think that 17 would be in the backlog now.
Benoit Poirier – Desjardins Securities: Okay, okay, very good.
Gilles Labbé: Because the 17 is all funded now.
Benoit Poirier – Desjardins Securities: And is there any opportunities for you to get the portion in the U.S. eventually?
Gilles Labbé: Of course, that’s again, that’s (inaudible). Eventually we do deals and we are – we do them well, and we perform, and we can show the customer we did perform and eventually there will be another competition for the U.S. one, and we certainly intend to compete.
Benoit Poirier – Desjardins Securities: Okay, do you know when it comes for renewal?
Gilles Labbé: I think it’s three years from now.
Benoit Poirier – Desjardins Securities: Okay, okay, very good. And is there more – obviously we saw a lot of announcement with the C-130, do you think there is more potential with this program eventually and what could be the parts as well?
Gilles Labbé: Well, I mean, we have the C-130J landing gear at this point and we have 1% or 2% of what they sell. So if they sell more, we get more. So it’s a – in term of other products at this point, other than landing gear it’s – no, we don’t see other product at this point.
Benoit Poirier – Desjardins Securities: Okay, okay, very good. And with respect now to the C-17, it seem that there could be a strike and they could eventually cancel the program. Is there any update on that program, this C-17?
Gilles Labbé: Well, we know that the program eventually I think looks like India may buy another 10 or 12 and – this looks like this program as longer leg than many people thought because the U.S. government has decided that basically they will not buy anymore, but Boeing has been able to sell to foreign country the airplane, so I think look the program I still 10 a year now if my memory is – it’s 10 a year. And for the next 10, 11, 12, and we certainly hope Boeing will continue to sell them outside the U.S. because it’s a very good airplane.
Benoit Poirier – Desjardins Securities: Okay. And how sizable is this contract for Héroux?
Gilles Labbé: We have a content of around $300,000, about $300,000 content on the plane.
Benoit Poirier – Desjardins Securities: Okay, perfect. Thank you very much, gentlemen.
Gilles Labbé: Thank you.
Réal Bélanger: Thank you.
Operator: Your next question comes from the line of Dana Merber with GMP Securities. Your line is open.
Dana Merber – GMP Securities: Good morning. Réal, what was the impact of FX on profitability in the fourth quarter either gross profit or EBITDA?
Réal Bélanger: Well, if you look at the – basically in two year, two main areas, where it’s been impacted on the bottom line is that first, on the margins, if I recall, it’s – is it 2.6%? Because on the full year it’s 1.7% impact FX on the margin, but in the fourth quarter it’s a lot bigger, because if you recall last year we ended out the quarter at – or the end of the year with a dollar around $0.80 U.S. or 1.25 Canadian, and this year we ended out the quarter at 1.02, so it was a bigger impact on the FX in particular in the fourth quarter. So, on the margin, on the gross profit margin in the fourth quarter it was about 2.6% – 2.6%, yes, on sales.
Dana Merber – GMP Securities: Okay. And the CapEx guidance that you gave, that includes the investment in Kitchener, right, that’s about 4 million I think?
Réal Bélanger: That’s correct, yes, it’s correct.
Dana Merber – GMP Securities: Okay. And can you remind us what your exposure is on the 787 program?
Gilles Labbé: 787, at this point we have under – just under 100,000 at this point, but we are working on it. We sealed other quote on 787 as we speak Boeing wants to establish a second source on many of their products. And certain suppliers have not performed like they should have performed and we believe we can build the content on 787 in the next year.
Dana Merber – GMP Securities: Okay. And just lastly, just on the wind business, obviously it’s been quite slow for the last while.
Gilles Labbé: Yes, yes.
Dana Merber – GMP Securities: What is going to kick-start that business for the year-end, availability of raw materials, size of the market, or growth–?
Gilles Labbé: No, actually electricity demand. I mean here electricity demand, if you look at the last two years, there was a reduction of electricity demand in the United Sates in 2009 and – by 3%, so – in this business I mean it’s a – you know there is a band of tolerance where basically the capacity of production has to be always higher than the demand, because you don’t to have a shortage of electricity. And the band was going in 2006, 2007, the band was getting narrower, but then another band is becoming larger, and when this is larger then you have less investment in power. As the demand for electricity increase this year, next year, this band is going to go narrower again and as this happens then you will see more and more installation of power whether the – it would be turbine or a wind turbine. So it’s – that’s what it is. And we are well-positioned in this market because we – of course, we have significant decrease in 2010 fiscal year compared to ’09 but at the end of the day we have kept a very excellent relationship with our customers. Customers have – we have not lost one contract. We are still building the same parts in less quantity. But now, the customers are – because we have performed and we have financial stability within the company, they gave us new mandates. These new mandates are at low quantity at this point. They will be increasing over the year and more next year, as we finalize the first prototype of a new product. So we think as demand come back in this market, next year being FY ’12, we should see a lot more demand in these type of product and our team in Cincinnati has been able to manage very severe downturn and continue to make – let’s see an acceptable level of profitability for given the circumstances.
Dana Merber – GMP Securities: Great. Thanks very much guys.
Gilles Labbé: Thank you.
Operator: The next question comes from the line Tim James with TD Newcrest. Your line is open.
Tim James – TD Newcrest: Thank you, good morning.
Gilles Labbé: Good morning.
Réal Bélanger: Hi, Tim.
Tim James – TD Newcrest: Just with respect to the military aftermarket business, I know you stated that as little weak for the full fiscal year, I am just wondering if you could comment specifically on the fourth quarter. And secondly, when we look at the outlook that you’ve indicated about the U.S. DoD spending for the next couple of fiscal years, how does your view of military aftermarket revenues for Héroux sort of play out in line with those budgets? Do you expect it to perform better or just slightly worse than the budget?
Réal Bélanger: No, if we – just to comment briefly on the aftermarket, overall, for the full year, aftermarket was very good, but in Q4, a question of timing aftermarket sales military were lower compared to last year fourth quarter. But in total military sales were very strong.
Gilles Labbé: Yes, and we feel FY ‘11 should be the same or better than FY ’10.
Tim James – TD Newcrest: Okay. And does that – when you look sort of beyond that, you’ve stated that you know there is a little uncertainty as to funding obviously from the U.S. DoD as you go out a couple of years. Would that kind of risk play into the aftermarket business or do you think that homes [ph] up relatively well compared to procurement for some of the big programs?
Gilles Labbé: Well, the aftermarket is always more stable than the OEM business. You know it’s – we are – it’s really when we see that somewhat we –
Réal Bélanger: We are trying to be prudent here because—
Gilles Labbé: You know I mean with the – you know the deficit in the U.S. as we speak because of the stimulus package and all that at a point I mean the U.S. will have to address their deficit situation. When exactly we don’t know, but it’s certainly, it’s not if, but when.
Tim James – TD Newcrest: Okay. So, just to confirm, then the reference here and may be I misinterpreted full year with the fourth quarter, but the reference to the Aerostructure product sales decreasing as the ramp up of the JSF and the Bell 429 program were more than offset by lower military aftermarket sales. That’s in reference to just the fourth quarter as opposed to the full year?
Gilles Labbé: Yes, well, you know, the (inaudible) through the year obviously they’ve been impacted by the business jet and helicopter commercial markets. But over and above that in Aerostructure, we do aftermarket sales and in particular chips [ph] business many times for military programs. And last year we had a very, very good year in terms of that particular business. In Q4, we less benefited from that business.
Réal Bélanger: Yes, and we see this business coming back in FY ’11 this year, but particularly in the last six months of the year.
Tim James – TD Newcrest: And then in reference to structures as opposed gears specifically, which performed better for you.
Gilles Labbé: That is correct.
Tim James – TD Newcrest: Yes, okay. Okay. And then just my final question just regarding the investment in Kitchener. Should we assume that that CapEx sort of plays out fairly evenly over the I believe it’s a five-year time horizon that you are looking at that investment.
Gilles Labbé: Yes, and some of that investment that we announced a couple of weeks ago with Government of Ontario is already made. 26.5 is – half of it is already done.
Tim James – TD Newcrest: Okay.
Gilles Labbé: So, there is only the other half to do over the next – in the next four years.
Tim James – TD Newcrest: And what Landing Gear products or programs are you specifically targeting or hopeful that you can secure work on as a result of this investment?
Gilles Labbé: Well, as you know, we have a three-bucket strategy. Aftermarket military is one, as you know. Second is the large 100-seater plus market. We team with Messi and Goodrich, but thirdly in the middle we – every aircraft there is less than 100 seat and aircraft that are less 100,000 ton, which should be an aircraft or an helicopter, we can design. So, this niche market that is the smaller OEM, business jet, the – now the regional jet, helicopters, we can design and build aircraft landing gear, and we will continue to pursue activity there. So that’s what we will pursue.
Tim James – TD Newcrest: Okay. Thank you very much.
Gilles Labbé: Thank you.
Réal Bélanger: Thank you.
Operator: The next question comes from the line of Ben Cherniavsky with Raymond James. Your line is open.
Ben Cherniavsky – Raymond James: Good morning.
Gilles Labbé: Good morning.
Réal Bélanger: Good morning.
Ben Cherniavsky – Raymond James: Most of my questions actually have been answered. I just wondered though if you can maybe shed little more light on the comment you made about I think was it a recent contract just this week with – on B1, did I hear that correctly?
Gilles Labbé: Yes, it’s – this is a aftermarket military that we get regularly that we won some additional business there on B1, but also on the C-5 and other KC-125R and P-3
Ben Cherniavsky – Raymond James: Was it material to your backlog in anyway?
Gilles Labbé: No. It’s a continuous flow of business coming in.
Ben Cherniavsky – Raymond James: Okay.
Gilles Labbé: Which we do regularly and the replenishment of orders as we win them.
Ben Cherniavsky – Raymond James: Okay. Great. So the backlog at the end of quarter is other than the acquisition of Eagle hasn’t changed materially in the last couple of months?
Gilles Labbé: You are right.
Ben Cherniavsky – Raymond James: Okay. Excellent. Thanks very much.
Gilles Labbé: Thank you.
Operator: You have another question from the line of Benoit Poirier with Desjardins Securities. Your line is open.
Benoit Poirier – Desjardins Securities: Yes, just to have a followup on the foreign exchange, do you guys have any exposure to the euro and if not is there any opportunities from an acquisition standpoint?
Réal Bélanger: No, as we speak we have no material exposure to the euro. Obviously, we have some contract with some European country, but the contracts are made in U.S. dollar.
Benoit Poirier – Desjardins Securities: Okay, thanks.
Réal Bélanger: Thank you.
Operator: (Operator instructions) Mr. Labbé, there are no further questions at this time. Please continue.
Gilles Labbé: Thank you, operator. Ladies and gentlemen, thank you for your interest in Héroux-Devtek. I would like to invite you to attend our annual meeting of shareholders, which will be held on Thursday, August, 5th, at the Omni Hotel in Montreal. We hope to see you there. Have a pleasant day. Thank you very much.